Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Sapiens International Corporation Fourth Quarter and Full Year 2013 Results Conference Call. All participants are present in a listen-only mode (Operator Instructions) following management’s formal presentation, instructions will be given for the question-and-answer session. As a reminder, this conference is being recorded February 26, 2014. With us online today are Mr. Roni Al-Dor, CEO, Mr. Roni Giladi, CFO and Ms. Yaffa Cohen-Ifrah VP, Corporate Marketing and Communications. I would now like to turn the call over to Ms. Yaffa Cohen-Ifrah. Yaffa, please begin.
Yaffa Cohen-Ifrah: Thank you and good day everyone. Our quarterly earnings release was issued before the market opened this morning and it has been posed on the company’s website at www.sapiens.com. Representing the company on the call today are Roni Al-Dor, President and CEO, and Roni GIladi our CFO. Before we start I would like to remind everyone that this conference call may contain projections or other forward-looking statements and that the Safe Harbor Provision in the press release issued today also applies to content of the conference call. Sapiens expressively disclaim any obligation to update or revise any of these forward-looking statements whether because of future events, new information, a change in its view or expectations or otherwise. Also during the course of the today’s call, we well refer to certain non-GAAP financial measures. A reconciliation schedule showing GAAP versus non-GAAP result have been provided in our press release issued before the market opened this morning. A replay of this call will be available after the call on the Investor Relations section of the company website or via a webcast link which appear in the earning release that we published today. With that out of the way, I will turn the call over to Roni Al-Dor, President and CEO of Sapiens. Roni?
Roni Al-Dor: Thank you, Yaffa and good morning everyone. Thank you for joining the call on which we discuss our fourth quarter and annual results for 2013. As we mentioned to many of you during the road tour in Q4, we intend to conducting quarterly conference calls going forward. Before we review our result, I felt it would be helpful to quickly summarize full year of our value proposition and our strategy. Sapiens primarily provides core software and technology based solutions for the insurance and financial services markets. We have approximately 900 employees and sell to more than 100 of P&C customers all over the world. Our Insurance Software Solutions are used in all areas of policy administration, claims, billing and collection, for both life & pension and property & casualty. Our full suite of innovation product received recognition from the industry analysts as a leading product for both property & casualty and life & pension in the market. On the technology based side, we provide application development and business efficient management platforms to variety customers globally. The insurance and the financial services markets are evolving rapidly. In terms of the market challenges, our customers are facing challenges from several powerful forces. The first, the customers of our customer are changing the ways they want to interact with their insurance provider, they accept better user experience. Second, our customer want to offer new product to meet the market demands they want to expand geographically and they always looks for the ways to reduce costs. The sales force at work is regulation or financial services, bank and insurance matches plan with the regulation that change frequently. The evolution of our market is creating a lot of opportunity for us now and we’ll continue in the future. Currently we are focused on organic growth by acquiring new customers, selling deeper into our existing client base and growing into new markets. To support the growth, we are expanding our sales force, we have increased our R&D investment. In addition, we are looking to M&A in the target markets. The quality of our solution is backed by a strong financial model, revenue growth, profitability and cash flow. Now that I summarized our value proposition and strategy, I would like to go over our results. 2013 was a great year for Sapiens with revenue in line with expectations and we saw organic growth of 18% from 2012. Our growth came from all of our growth engines, across territories and from existing and new customers. We believe our growth also illustrate the trend of the P&C and the life & pension insurance which faces challenges in their existing legacy systems and are going through a period of modernization of their called software platform and technology. To keep benefiting from these market trends we continue to make significant investments across our organization especially in the R&D, sales and delivery. These investments positively effect top line revenue in coming years and had an impact on our non-GAAP operating profit. From competitive landscape perspective, we improved our position in the market, winning strategically important deals with new customers. Due to the nature of our solution, each new wins inflate to several millions of dollars in revenue and long-term relationship with the customer which was a result in a reputable business. This strong interest in our product is also evident by several strategic deals that I would like to highlight. Starting with our product, Sapiens ALIS for Life & Pension; we signed a multi-million dollars agreement with Wesleyan Assurance Society. Wesleyan selected our solution as a strategic new business administration platform; this was our first win in UK following our merger with FIS and will enable us to leverage across other insurance in the region. Sapiens IDIT for P&C won a deal with the Major Pan-European Insurer. We selected our product for implementing in five countries. The implementation will be deployed in UK, France, Germany, Italy, and Spain. The customer selected our solution due to our ability to implement multi-national core system which became trend across global insurers. Sapiens DECISION was selected by a leading global financial institution in U.S. to optimize the business process and to centralize the repertoire of business logic. This is our fifth win for DECISION which we have started promoting in late 2012 after completing the initial development of our products and demonstrate the confidence of leading financial services organization in our innovative product. One of the key reasons why we’re able to win such deals is our position as a market leader. In fact Sapiens is constantly highlighted by industry analyst community for its technology and functionality leadership in our field. In a recent report published by Celent, a research and advisory firm focused on the information technology in the global financial services industry, Sapiens’ deep platform for the property and casualty was identified as the market leader in EMEA winning two XCelent Awards categorized advanced technology and breadth of functionality. In other Celent report, Sapiens ALIS for Life & Pension was recognized as the market leader for breadth of functionality both in EMEA and North America. In addition, both products were recognized as a market leader in EMEA this time by Ovum, another industry analyst firm covering these markets. These products along with Sapiens DECISION which is in A class of its own represent our growth engines. I would like to now to give an update of each of our three growth engines; Life & Pension, Property & Casualty and DECISION. Beginning with Life & Pension, after two years of significant investment in Life & Pension, we’re ready with the major release of our Life & Pension solution which will have enhanced product decision capabilities and advanced services in presentation layer, most critical factor with making technically advanced solution, these major new release we launch in the second half of 2014. To expand the Life & Pension growth engine, we’re adding a new product line. For the last two years, we’ve invested in developing our retirement services solution on top of ALIS platform. The retirement services market is considering a large market with legacy solution. This newly development product is generally available and will be in production later this year, enable us to achieve even faster growth of ALIS. Combining advanced technical capability with functionality richness, we now see tremendous market opportunity for the newly development product in the retirement services market, especially given the lack of modern technology solution to support the complexity of defined contribution retirement plans and the representative regulations. Moving on to our second growth engine Sapiens IDIT product for Property & Casualty, I would like to point out that IDIT is an established product with rich functionality on advanced technology. In order to accelerate our growth in Property & Casualty market, we nominated Gary Sherne as the EVP and Managing Director for our P&C division. Gary’s nomination will also support the final integration plan with IDIT. Gary, an experienced executive spend over 25 years, developing and managing successful and growing software and services organization in the financial services market in the U.S. and Europe. He was previously President and CEO for StoneRiver, $120 million business in the Property & Casualty and life insurance core system market. Finally, I would like to turn our third growth engine, Sapiens DECISION. We are also expanding the second DECISION product line. Also DECISION can be applied in a multiple industry. Our first target vertical market was banks, where we started out with mortgage and investment banking and now we announced the offering of DECISION in risk and compliance area. To support that expansion, we hired Jim Heinzman, risk and compliance expert, a former Managing Director at Actimize and at Bear Stearns. Our business model with our clients is based on long-term relations, starting from delivery and implementation, ongoing maintenance and support and introduction of changes along the way to support new lines of business, new regulation or expansion to new geographies. We are now enhancing the local presence and going to the account management team to get even closer to the customer. At this point, I would like to turn the call over to our CFO, Roni Giladi, to review financial results in greater detail and following his part I will summarize. Please Roni.
Roni Giladi: Thank you Roni and good morning everyone. Today, we will be analyzing our results on a non-GAAP basis, which we believe better convey the operational state of the business. There is a detailed reconciliation to non-GAAP result in the financial tables of the earnings press release. Revenue in the fourth quarter was $36.2 million, up 16.1% from the quarter of 2012. Total annual revenue was $135.4 million, up 18.8% from 2012. To get a deeper insight into our revenue growth, I can say that our growth engine, excluding legacy products grew more than 20% in 2013. At this time, I will go one step deeper into our revenue mix by type and geography. Analyzing our revenue mix by type, show that during 2013 our license revenue grew from $10 million which represent 8.8% of the total revenue to $14.7 million which represent 10.9% of total revenues. An increase of 2%, compared to last year. Our service including maintenance revenues, grew from $103.9 million to $120.6 million in 2013. Now, I would like to analyze our revenue by geographic breakdown. In North America, revenues totaled $44.2 million, up 24% from 2012. Our revenue in Europe totaled $56 million, up 31%. For A-Pac and Israel the revenue remained flat and totaled $12.2 million and $23 million respectively. We expect revenue in Israel to increase in 2014 following the decline in insurance contract we signed for Life and Pension in the second of 2013. This revenue mix is in line with our sales and marketing effort, which mainly focus on the U.S.A. and the European markets. In summary, our revenue in North America and Europe grew organically by $22 million in 2013 and our share out of total revenues grew from 69% in 2012 to 74% in 2013. Currently, we have a strong global presence with direct sale in U.S.A, in Europe mainly in the U.K as well as in Japan and Israel. Our plan is to further expand our revenue by working with partners. One example of our partnership with system integrator is the one we recently signed with a major system integrator in the U.S.A for the retirement services market. The retirement services deals are typically with top tier customers and are large in size. We are aiming to leverage this partnership in order to increase our opportunities and strengthen our position among these top tier retirement services customer. And other type affiliation is our recent announcement of a partnership with the local Russian partners SAPRUN which enable hopefully in our P&C in Russia serving in Sapiens distributor and integrator for the Russian and CIS market. With that, I conclude our revenue analysis. And I would like to turn to profitability analysis. Our non-GAAP growth profit in 2013 was $55.8 million, up $3.5 million compared to 2012. Gross margin was 41.2%, down from 45.8% in 2012. While our gross margin for P&C, DECISION and legacy product remain at the same range, our gross margin for life and pension evolved this year. Mainly due to low profitability in the implementation of our new life and pension releases and retirement services solution, that we are still under development this year. We expect to see improvement in gross margin during in 2015. The expected improvement in gross margin will come mainly from our R&D efforts that will increase in 2013 and will continue in 2014 that will lead to improvement in the life and pension product maturity allowing higher gross margin. This improvement will be partially offset by the shifting of part of Sapiens’ DECISION business model to term license sales that in short-term may reduce our profitability, but in the long-term build profitable recurring revenues. Non-GAAP operating expenses excluding COGS in 2013 were $41.8 million compared to $37.2 million in 2012. R&D expenses increased by 26.4% and SG&A expenses increased by 4.2%. These increase in the R&D expenses along with the increase in the SG&A expenses were designing to support the rapid growth of the company and mainly to build strong product leadership in all of our products. As a result of the those investments, our non-GAAP operating income in 2013 decreased, from $15.2 million in 2012 to $14 million in 2013. Operating margin was 10.4% compared to 13.3% in 2012. Non-GAAP net income in 2013 totaled $14 million or $0.33 on diluted EPS compared to $14.7 million or $0.35 on the diluted EPS in 2012. The decrease in EPS derived from two main factors. First, the reduction in net income and the second, the increasing number of shares during 2013, including the partial impact of the issuance of shares in the secondary offering in mid November 2013. Moving to our balance sheet. During the fourth quarter, our cash position grew by $37.8 million as a result of our secondary offering. As of December 31, 2013, we had cash and cash equivalents of approximately $70 million. The strong cash position will allow us to serve our working capital, our ongoing activities and future M&A. During 2013, we generated free cash flow totaled $17.3 million. Now, turning to our outlook. We expect 2014 annual revenue to be within the range $154 million to $158 million. Our guidance consists of organic growth not including potential benefits of M&As. At this point, I would like to turn the call back to Roni Al-Dor for closing comments. Roni?
Roni Al-Dor: Thank you, Roni. Looking ahead in 2014, we expect to continue with our organic growth. We planned to expand our sales force in life and pension, property and casualty and DECISION to support the growth targets. Expand R&D investments and improve the product maturity for all product mainly in ALIS. I have a lot of excitements for Sapiens from the following reason. The insurance market has a great demand for model technology and we are benefiting from the transformation from old legacy systems where the insurance company are going to core technology replacement cycle. Our products are well positioned and showing the recent report by the industry analysts. As the robust player in the market we are uniquely positioned to continue to build on our leadership position, grow as a company and drive shareholder value. I would now like to turn the call over to the operator for Q&A. Operator, please post for question.
Operator: Thank you. Ladies and gentlemen, at this we will begin and question-and-answer session (Operator Instructions) The first question is from Bhavan Suri of William Blair. Please go ahead.
Bhavan Suri – William Blair and Company, LLC: Hey, guys. Thanks for taking my question. Can you hear me okay?
Roni Al-Dor: Yes.
Yaffa Cohen: Yes.
Bhavan Suri – William Blair and Company, LLC: Congrats on the top-line and also on the new hires that’s exciting news. I guess my first real question is around ALIS, it feels like the pipeline for ALIS especially the new release now that you’ve got, the work flow on the screens done since revamping, can you provide any color on sort of how that how pipeline for the new product looks versus sort of, when you were sort of talking about releasing the product late last year?
Roni Al-Dor: Hi, Roni Al-Dor speaking. Our pipeline is still the same level, but as you remember, we are continue with our previous release and the new release. And we are – we put a lot of product also right now in Europe and Central Europe and also in East Europe. And also we are doing some campaign around the retirement services is also based on ALIS. So, the overall pipeline is better, but because we are going to other area as well as the retirement services.
Bhavan Suri – William Blair and Company, LLC: Great. And then, it just feels right from the recent press releases and the wins you had the win rate in Europe has picked up for ALIS a little bit. Is that fair to say or is it still pretty consistent?
Roni Al-Dor: They’re still the same.
Bhavan Suri – William Blair and Company, LLC: Okay. And then on the P&C side with IDIT, any update on sort of future plans to expand into the U.S., obviously in Europe you have a very good presence, but sort of how you plan to expand in the U.S., or is that something that is still a little bit way as out?
Roni Al-Dor: No, this is definitely one of the reasons that we hired Gary as the CEO of StoneRiver that based on our information for more than $120 million company, but I think two-third of that was on the P&C in U.S. So this is one thing that we ask Gary to come and help us to do a full plan during this year, how to penetrate to the U.S., or we can do it by ourselves or through M&A.
Bhavan Suri – William Blair and Company, LLC: Okay, okay. And then on DECISION obviously that’s kind of ramping nicely, and Roni G, I don’t know if you given an update, but what percentage of revenue was DECISION in the quarter?
Roni Giladi: Hi Bhavan. And thank you all this is Roni G. we are providing an overall total revenue and we do not breakdown the DECISION or guide a product all of them are ramping together. And all I can say that all of our legal pension grew more than 20% over the year-end quarter even in the quarter. And DECISION is a part of this obviously grew significantly in several fold during 2013.
Bhavan Suri – William Blair and Company, LLC: That’s very helpful. And then, as you look at DECISION and your choice to verticalize the offering, both for the banking sector and for risk and compliance and you’ve hired now to those. What are the areas that you think it would be the next sort of tangential areas to add DECISION too as well as you think you might later in the year certainly verticalizing DECISION for?
Roni Giladi: Although risk and compliance which is relatively new for us, and [indiscernible] we planned to hire few more and we planned to put a lot of effort on this area that we believe this is – it’s a huge area to be. But, the other thing that we are more opportunistic we want to go to the insurance that we are here, so we have to talk to with our clients. But as a vertical segment we want to continue with the mortgage, but as we talk we are putting more effort on the vertical of the risk and compliance.
Bhavan Suri – William Blair and Company, LLC: Great. Nice shot guys. Thanks for taking my questions.
Roni Al-Dor: Thank you.
Roni Giladi: Thank you, Bhavan.
Operator: The next question is from David Kaplan of Barclays Capital. Please go ahead.
David Kaplan – Barclays Capital Israel: Hey everyone. Roni. G, you talked a little bit about the investment you guys made in 2000 – earlier I guess in 2012 and 2013 to build-out new products and for the sales and marketing. Can you talk a little bit about when you see those investments starting to pay off and margins growing from these between 10% and 11% operating margin back to your historical levels if not beyond that? That’s the first question. And the second question, Roni. A you touched on using a systems integrator in the U.S. for one particular set of products, what is the map that you guys have for using more and more system integrators and selling through the channels as opposed to selling directly? And what mitigates you from going to 100% model like that?
Roni Giladi: In terms of, say operational profit, obviously the improvement in gross margin will affect the operational profit. Our expectation is to stay the same level this year, 2014 the same as 2013 and see improvement also in 2015. We probably are going to see the same ratio in R&D, but increase in sales and marketing as we had in the last quarter. This is to continue our momentum in growth in the market.
Roni Al-Dor: The decision as a product is ready to work with system integrator. We are talking for few system integrators that are interesting for that. And because we believe that can generate a lot of business for them, and we are also more interested to sell our license. On the P&C part, right now in the West Europe, that we have good presence and a lot of customer. We continually sell our business model, but as we share with you, we’re penetrated to the new territory like in Russia. We already signed an agreement with local system integrator and in the future we plan to go to other area in East Europe and Asia to work with another system integrator.
David Kaplan – Barclays Capital Israel: Okay, great. Thanks very much.
Operator: The next question is from Mayank Tandon of Needham & Company. Please go ahead.
Elizabeth S. Colley – Needham & Co. LLC: Hi, this is Elizabeth Colley for Mayank. I was hoping, if you guys could give us some additional information on the competitive environment both in Europe and North America. Are you guys seeing anything new or different, and specifically can you talk about your run rate and how it’s tracking with the historical rates?
Roni Al-Dor: You’re talking about competition in the life side.
Elizabeth S. Colley – Needham & Co. LLC: Yes, across all of your products, just generally.
Roni Al-Dor: Okay. So in generally, in the retirement services we feel very comfortable based on all of our knowledge, the most of the competitors they have legacy system and we are the only one based on our information that we have modern technology. So we believe that was a big edge and we feel very comfortable. On the life and annuity were two types of competitors, one is the company like Accenture and Oracle. And other is a more new company that’s just starting their business like a company called Fast [ph], or that’s the two type of companies.
.: On the P&C’s defense we are not playing there on the policy and billing and claims. So we know there is a lot of competition, Guidewire and Duck Creek and others, but we are not there. In the insurance, we signed few deals in North America. We have a good system. Again there is not a lot of competition there. So that’s in general where we are. On their decision, that’s the last thing. We are right now pioneer in this area meaning that we, a lot of people talk I think that’s we at least one or two year beyond the other competitors that’s in the market today.
Elizabeth S. Colley – Needham & Co. LLC: Right, thank you, and just one last question. So you guys mentioned that you are continuously looking at M&A. Can you give us any color about what sort of deals you will be considering specifically, again which verticals that are on the scale and impact on the margins and earnings?
Roni Al-Dor: Yes. It’s above the type of M&A, we divided in two types. One is complementary solution to our product. For example, agencies or [indiscernible] area that’s the two areas in terms of complementary solutions. We talked to a few companies around this business. We also gave some offer to them, but particularly because of the price it’s not moving on and about the other type of interesting for us is more customer base with a company that has legacy system and customer base. This is other type. So this is the two areas that are interesting and we’re talking.
Elizabeth S. Colley – Needham & Co. LLC: Okay, thank you.
Operator: (Operator Instructions) The next question is from Richard Baldry of ROTH Capital Partners. Please go ahead.
Richard K. Baldry – ROTH Capital Partners, LLC: Thanks. Over the past three quarters your sequential revenue growth has been about 4.5% to 5% which should imply something closer to a 20% growth rate above your implied guidance for 2014. Could you may be talk about the factors that will based on guidance for 2014 or let me think it’s simply conservative or there is something that’s been accelerating your growth near-term that more replicate itself in 2014.
Roni Giladi: Hi Rich. This is Roni. When we build the guidance, we basically look at our business model and how we’re generating the revenue. Sapiens is significant repeatable business from existing customer. This is serving 80% of our total revenue. So when we enter in the year, we’re feeling very confident with our existing customer. The additional 20% is coming from new customer that we need to achieve during the year and generate the revenue out of them. As you can see and we announced this already, we started the year with a significant deal in the life and annuities in the USA. That we already started in recognizing revenue, and in our prior plan we also see the potential opportunities they need to translate into contract and then revenue. In our business, the sales cycle is very long. So therefore with the opportunities that I mentioned we’re already discussing and already engaged with them in their P&C or analysis and designing phases, which are typically before the contract. We feel confident with our guidance and the number and the range.
Richard K. Baldry – ROTH Capital Partners, LLC: And can you talk a little bit about the linearity or any seasonality or your expected revenue sort of quarter-to-quarter, but there is any your Q1 debt or do you think it sort of a steady growth from the beginning of the year throughout?
Roni Giladi: Our business typically longer than contract with significant blue chip customers and we typically do not see any seasonality in our revenue. And as a matter of fact, we see in the past several years increasing revenue quarter-over-quarter. I don’t think we can find any seasonality. There maybe some revenue recognition issues slightly there, slightly here but overall no seasonality and ramping up.
Richard K. Baldry – ROTH Capital Partners, LLC: And on the expense side, the SG&A amounted to top sequentially but $1 million, can you talk about from which parts of that grew faster in the quarter whether it’s on the sales side and then maybe sort of how much capacity you think you’re going to add to the sales group and what timeframe it takes out to ramp. Thanks.
Roni Giladi: Okay, one of the key initiative of management here is growing the top line. This is one of our everything in the agenda is there, and this is what we’re looking to do. As a matter of fact in Q4 we did a significant ramp up in sales, only mentioned the recruitment that within decision, we did a same in life and pension and also in, on the P&C side. The increase in Q4 is mainly coming from sales although there is a one-time costs also for moving officers and the Israeli officers, this is coming from the G&A but mainly coming from sales, I hope this answer.
Richard K. Baldry – ROTH Capital Partners, LLC: Great, thanks.
Operator: There are no further questions at this time. Before I ask Mr. Al-Dor to go ahead with his closing statement, I would like to remind participants that a replay of this call is scheduled to begin in two hours. In the U.S. please call 1-888-782-4291, in Israel please call 039-255-925, and internationally please call 972-3925-5925. Mr. Al-Dor would you like to make your concluding statement?
Roni Al-Dor: Yes, so thank you for all of your time and hope to talk to you in the next quarter. Thank you.
Operator: Thank you. This concludes the Sapiens International Corporation fourth quarter 2013 results conference call. Thank you for your participation. You may go ahead and disconnect.